Operator: Good morning. My name is Dan, and I will be your conference operator today. At this time, I would like to welcome everyone to Vertical Aerospace 2025 Third Quarter Earnings Call. [Operator Instructions] Now let's turn the call over to Gillian Levine, IR Lead at Vertical Aerospace. You may begin your conference.
Gillian Levine: Good morning all. I'm delighted to welcome you to Vertical Aerospace's Third Quarter Business and Strategy Update Call. Before we get started, I would like to remind you that during today's call, we'll be making forward-looking statements. These statements involve risks and uncertainties that may cause actual results to differ materially. Any forward-looking statements we make are based on assumptions as of today. We undertake no obligation to update these statements as a result of new information or future events. We posted an accompanying slide deck to our Investor Relations website at investors.verticalaerospace.com, which contain detailed information on forward-looking statements. For a more complete discussion about these risks and uncertainties, we have filed our 2025 third quarter financial statements with the SEC earlier today. Please now let me hand it over to our Chairman, Domhnal Slattery.
Domhnal Slattery: Good morning, and thank you all for joining the Vertical Aerospace third quarter business update call. Before we get started, though, I wanted to share with you a never before seen image of our new certification aircraft design and doesn't it look cool. We look forward to formally unveiling the full-scale aircraft on December 10 in London. And please reach out directly to our IR team if you would like to join us on what will be a very special occasion. I'm delighted to lead the call today with our Chief Executive, Stuart Simpson. My name is Domhnal Slattery, and I am the Chair of Vertical Aerospace. I've worked in the global aerospace industry now for nearly 4 decades and along the way, founded 2 of the top 3 aircraft lessors in the world today, including Avolon. During the call today, I want to share with you why we believe Vertical Aerospace is a leader in the eVTOL sector. We want to update you on our progress and importantly, outline the top priorities going forward for myself and the management team. On Slide 4, you will see we have 6 items to cover today. If Stuart and I do our job, you should walk away from this call with clarity on several key areas, and in particular, around our flight test progress and aircraft design. And we will also spend time on framing the valuation gap that exists between ourselves and our competitors. Turning to Slide 5. We've spoken extensively about the fourth and the final stage of our flight test program, the piloted transition flight and why this maneuver is so critical. So rather than just tell you, we'd like to show you what this entails. So let's take a look at this video. [Video Presentation] So what you saw there is the demonstration of end-to-end piloted transition and transition price is the critical derisking step for the VX4 developments and our certification program, it represents the most material milestone in our history. And importantly, this is a key point, all under the oversight of the U.K. CAA our home regulators. But the video showed this final phase, transition is actually the culmination of a 5-stage test flight campaign, which I'm glad to say will begin later this week, subject to receiving final permits to fly from the U.K. CAA. And we expect these stages to be completed across 11 test flights in total. Once all 5 stages are completed, Vertical will be the first eVTOL OEM of our aircraft size to have completed this step under U.K. CAA regulatory oversight. This is an industry first, and it is materially ahead of all of our competitors bar one. Turning to Slide 7. Vertical's approach has always been start slow to finish fast. From day 1, we have maintained a transparent, measurable and clear work scope. We are the only team in the industry with extensive aerospace certification experience. Our senior team has certified over 30 aircraft or propulsion systems, bringing decades of invaluable learning and experience. As you may know, we have flown under a permit to fly oversight by the U.K. CAA. It's important to understand this because it requires rigorous oversight, ongoing demonstration of compliance, routine inspections and joint accountability with our regulator. This approach fundamentally differentiates us from peers who currently operate under an experimental air ordinance approval with limited direct oversight by the FAA. This stringent oversight means that we have front-loaded our certification process with over [3,500] hours of CAA export review. One prerequisite for type certification in the U.K. and Europe is being awarded design organization approval, which we received in 2023. This approval affirms the regulators' confidence in our engineering, our design and our development processes. And our successful 2025 audit confirms the CAA's continued confidence in our operations. This level of regulatory engagement in turn allows for high confidence in our 2028 certification time line and importantly, the expected cost to achieve that certification. Now turning to Slide 8. At our Capital Markets Day last September, we highlighted that once an aircraft reaches certification, there are really only 2 metrics that become paramount, aircraft comfort and reliability and the profitability of our customers, the operators. We are confident in our certification plan. But when looking beyond certification, it is evident that our aircraft offers the most versatile eVTOL in the market. So today, I want to focus on our unique passenger comfort and operator profitability. These are the factors that will ultimately drive multi-decade commercial success. The reality is all of our competitors are physically constrained by the size of their aircraft and this provides Vertical with a unique competitive advantage. Turning to Slides 9 and 10. I'm truly delighted to share for the very first time the internal renders of our certification aircraft. As you will see on these slides, our cabin space is the biggest and the most spacious in the industry. We have over 70% increased passenger cabin volumes versus our competitors. Our aircraft was designed from day 1 with passenger and pilot comfort in mind. As you will see, the aircraft is divided into 3 distinct compartments: the passenger cabin, the pilot cockpit and the luggage hold. And you will see each one has a separate entry and exit, ensuring safety and comfort. We have a cockpit that is 50% larger than our competitors. And our luggage compartment is 200% larger than certain of our competitors. This allows us to check in 70 pounds of baggage -- personal baggage for each passenger. This makes our aircraft ideal for airport to central business direct transfer. Simply put, when you step back, no other eVTOL matches this combination of comfort, space and practicality, not one. On Slide 11, you will also see that the VX4 is unique in its ability to scale from 4 to 6 passengers. This flexibility was designed also from day 1, and it sets our aircraft apart in the market as no other competitor can scale to 6 passengers. This will make the VX4 the preferred aircraft for operators globally. Now turning to Slide 12. What I just described qualitatively puts it into clear metrics financially. Serving 6 passengers rather than 4 allows our operators to increase revenue by 50% and more than double annual operating profit potential. Scaling the 6 passengers reduces the cost per seat mile by 30% and obviously significantly improves margins with the potential for gross margins to range between 56% at an assumed 75% load factor. The reality is these unit economics are transformative for our operators, and they underpin our strong industry-leading order book. The step back here and the key message is actually pretty simple. Post certification, what matters is safety, which obviously we deliver to the highest standards and passenger comfort and operator economics, which the VX4 uniquely provides. I'll now hand over to our CEO, Stuart Simpson, who will provide more detail on our cost of certification and some of the key cost components. Stuart?
Stuart Simpson: Thank you, Domhnal. 6 years ago, we made a strategic choice to focus on being a pure-play OEM and to largely avoid vertical integration. We source our parts from Tier 1 aerospace manufacturers globally, each one with decades of certification history. We are the only OEM with proven Tier 1 aerospace suppliers on safety critical systems, including flight control computers. This model is efficient, cost effective and positions Vertical as the best steward of capital. Turning to Slide 14. Our cost to certification is guided by confidence in the U.K. CAA process and time line. The key components are: first, $550 million of people and operating expenses. This is where the benefit of our OEM model really comes through, allowing a lean and cost-effective model. Additionally, being based in the U.K., we have significantly lower cost than U.S.-based competitors. Second, $225 million of nonrecurring costs, largely fixed through contracts with Tier 1 suppliers, 75% quoted or contracted and 25% estimated. As a reminder, these are onetime upfront costs to our partner suppliers that cover the initial design and development of key parts of the VX4, along with tooling costs to build our certification and production aircraft. These suppliers are leaders in their respective categories and understand certification, and we get to benefit from leveraging their engineers and [indiscernible]. Finally, $75 million of CapEx to cover investment in our initial production facilities at Cotswold Capital and an expansion of our Vertical Energy Center where we assemble batteries. As we raised at our Capital Markets Day in September, it is in our DNA to bring clarity to an opaque industry. We are the only OEM in the space with published financial and operating metrics through 2035. This speaks volumes to our business strategy and path to certification. Slide 15 shows that through Q3 2025, our spend was in line with expectations, and we maintain our full year guidance of USD 110 million to USD 125 million. This is 75% below our main competitors. Our tax position is $123.4 million as of the end of the third quarter. As of today, our cash position is $117 million. Our ATM facility put in place in September '25 contributed $7.2 million in the third quarter and $16.4 million year-to-date. Over the next 12 months, we anticipate spending $235 million. We will provide more granular 2026 spend forecast at our full year earnings call. Moving to Slide 16. Vertical clearly executes on its own operational milestones for 2025, including our piloted wing-borne test flights, flying real-world use cases, earning further DOA privileges from the CAA and initiation of our production steps are completed. From the 2 items outstanding, first, piloted transition has been discussed earlier today and will be completed within weeks. Second, the build of our third prototype is progressing well and again, will be completed in weeks, likely at the beginning of December and flying shortly thereafter. In 2026, this third aircraft is what will be retrofitted with the hybrid powertrain to begin hybrid flight test. Moving to Slide 17, you will see our high-level certification time line. The first point to note is that we have already completed the preliminary design review or PDR with 75% of our components already locked in for the certification aircraft. The next step is CDR expected in mid-2026. This will lock in the final 25% of the components for the final aircraft design and the supply chain, allowing us to move towards certification and then mass manufacture. After we complete CDR, nothing on the aircraft will change. We will not be tweaking landing gear or propellers. This is the final aircraft and enables us to begin delivering the 7 certification aircraft that we will test through to 2028 certification. Of course, this CDR is a significant milestone for the company, but also for our suppliers and customers as well. I'll now hand back to Dom.
Domhnal Slattery: Thank you so much, Stuart. So let's turn to Slide 18. Now the first thing you will note on this slide is a lot of red access. And I'm often asked, why does Vertical trade at such a discount to its peers? The gap is simply cycling. Vertical's market cap is 3% of company A and 6% of company B. In our opinion, this gap is entirely unwarranted. So let me try and frame this for you from our perspective. On almost every valuation metric that matters, be it technology, capital efficiency, real tangible certification progress or customers, practical outperforms -- if you look at the key value drivers down the left-hand side of this page, it's obvious that Vertical has achieved or exceeded on all of these metrics, yet our valuation remains detached from reality. However, we believe upcoming milestones, including piloted transition will act as a significant catalyst to our share price. So turning to Slide 19. In our year-end and Q4 update, we will lay out a very clear set of objectives for 2026. However, as a step back, I see 2 key priorities for me as Chair. The first is to conclude a partnership and investment with a global strategic player and secondly, working with the team to significantly grow our order book. If you turn to Slide 20. Here, you can see the scale and depth and quality of our customer base. We have one of the industry's largest order books, globally diversified. Importantly, we are the only eVTOL OEM that has a Tier 1 global lessor on its program. This is a unique competitive advantage, giving us access to Avolon's global distribution capability. Our relationship with Bristow, the preeminent helicopter operator globally is also strategically compelling as it's the industry's only ready-to-fly partnership enabled by their global AOCs. Now our order book has been effectively closed for 2 years, but we will be reopening it selectively, targeting high-value geographies and end markets. And it will not surprise you that a key focus for me and the team will be to secure the first sale of our hybrid aircraft, which begins testing, as Stuart said, in 2026. Now finally, turning to Slide 21. Now that we are within weeks to completing a successful piloted transition, we and the Board now believe this is the moment to close an investment with a strategic industrial partner to tangibly support our ramp from certification to commercialization. Our ideal partner is a global player in aerospace, automotive or the defense sectors. Unquestionably, there is significant strategic investor interest in the sector. And Beta's successful IPO this morning is a clear demonstration of this. And let me, on behalf of the team, congratulate Kyle Clark and his team on their success. Vertical are in active dialogue led by me with several potential partners globally. And I am confident that we will conclude a transaction shortly. If we are successful, this partnership will be transformational, both for the business and our share price. Finally, turning to Slide 22. We hope that this call has given you clarity on our progress towards piloted transition, the industry-leading aspects of our aircraft and why we believe Vertical Aerospace is the absolute best steward of your valuable capital. With that, I'm going to hand back to the operator, and we will open the call to questions.
Operator: [Operator Instructions] Your first question comes from the line of Austin Moeller from Canaccord Genuity.
Austin Moeller: So my first question, where are we at on Aircraft 3 production and the development of the hybrid powertrain for early '26 flight testing?
Stuart Simpson: Austin, thank you for the question. Aircraft 3 production is exactly in line with plan. And as I said earlier, will be completed in the first couple of weeks of December. So we're really pleased, we are exactly on plan with that. In terms of the hybrid, again, we're exactly in line with our plan for that. Everything is coming together for the aircraft to be flying in the middle of next year. So really pleased with everything that the team has been doing, and we're on track on both of those.
Domhnal Slattery: Yes. And Austin, let me add to that as well. And I think this is important for people to understand. A lot of our competitors are talking about hybrid. But the reality is none of them have an airframe currently that works for a hybrid. Vertical is the only OEM that has an airframe that can take a gas combustion engine immediately without any amendments or adjustments to the airframe. That's the most important. So we are a major first mover in the flight test campaign, which will start, as Stuart said, middle of next year.
Austin Moeller: Okay. And then just you talked about the hybrid powertrain aircraft and potentially getting an order there soon or announcing an order there soon. If we think about the defense market, when might the U.K. MOD or NATO MODs be interested in procuring aircraft for troop transport? It seems like there's a lot of opportunity there to sell this to European allies given the 5% spending commitment and the low acoustics and thermals of the aircraft.
Domhnal Slattery: Yes. I think you're spot on, Austin. So the step back here is that the defense budgets in Europe are going to be at 8-decade highs, okay? We, as you can well imagine, are in direct dialogue with every major government in Europe about this aircraft and the interest in the airplane is exceptional. Given some of the touch points we have from our Board colleagues, particularly Lord Andrew, former Head of MI5, you can well imagine that we've got great access, particularly in the U.K. MOD. So we'll be working super hard going into 2026 to secure the first order, and I'm confident that we'll achieve that.
Operator: Our next question comes from the line of Andres Sheppard from Cantor.
Andres Sheppard-Slinger: Congratulations on the quarter. I was wondering if you can maybe talk a little bit about your manufacturing strategy. Will you be pursuing kind of a large OEM agreement partnership there to kind of help as you begin to ramp up the kind of the high-scale manufacturing process? Or kind of what's the strategy there?
Domhnal Slattery: Yes. It's a good question, Andrew, right? And one we've thought about extensively over the years. So you can apply different approaches to this. You can do the sort of let's build the big huge factories, let's spend a lot of money doing that and hopefully, we can fill them at some point in the future or you can take a more prudent, more risk-adjusted approach, which is what we've done, okay? So you should expect to see our manufacturing cadence as follows. Phase 1 in the U.K. as we've outlined, and Stuart can give some color on that. Phase 2 is the turbocharge phase. And as I mentioned in my remarks, one of the key criteria for selecting an industrial partner with us is their ability to turbocharge our production capacity for this aircraft. What does that mean? What that means in practical terms is by the middle of the next decade, we will have 3 manufacturing facilities, one in the United States covering North and South America, which will be a major market, one in Europe and one in Asia. And I suspect by the middle of next year, we'll be coming back to the market with probably quite significantly ramped up production forecast for this aircraft, given the demand that I am seeing globally. I mean I spend my time talking to airline CEOs globally who are waiting to order our aircraft, but they want the aircraft earlier. And right now, we are production constrained under our current forecast. So clearly, the objective is to build more airplanes faster and more efficiently. Stuart, do you want to touch on the immediate plans because it's important.
Stuart Simpson: Yes, of course. Andres, thanks for the question. As I mentioned at the Capital Market Day and just touched on here, $75 million we'll be spending gets our initial capacity up and running that takes us through 2030. That is expanding our footprint at the Cotswold Airport, where we'll be assembling the aircraft and expanding our facility at the Vertical Energy Center where we'll be assembling batteries. Hand-in-hand with that, we're in deep discussions with the U.K. government about where we locate the major U.K. facilities, the battery giga factory and a production facility for the aircraft of several hundred aircraft a year. Then exactly as Domhnal says, we will be ramping that across the U.S. facility and into Asia.
Domhnal Slattery: We'll make a decision on the European location during the first quarter of next year. And whilst Stuart touched on it being in the U.K., it's highly likely to be in the U.K., but I wouldn't say we've made that decision yet. What we're seeing is pretty significant inbound from other European countries who are keen for us to base there, unquestionably, high-quality jobs and a lot of them. But from the market's perspective, that decision will be made during Q1 next year.
Andres Sheppard-Slinger: Wonderful. Appreciate all that color. And maybe just a quick follow-up. I think a lot of your peers are pursuing the Middle East as a viable market, some of them even potentially targeting commercialization there over the next 6 months. It doesn't seem like Vertical is emphasizing or prioritized in this region. So curious to get your thoughts there. Is this another potential geography to pursue? Is this an opportunity perhaps in the more nearer term? Or is the goal to kind of stay focused on Europe and the U.K. and ramp up from there?
Domhnal Slattery: Okay. Well, let me help break this down into its components because it is a really important point. First of all, GCC or the Middle East is broadly defined, is an extremely important marketplace. And for those of you that follow us closely, you will see that we had a very significant day in Saudi Arabia a couple of weeks ago, and Stuart Simpson was there with the U.K. government as part of the FII. So unquestioned, the Middle East is really important. But here's where it's not important and what I would call strategic tourism around certification searches. We do not believe there is any real validity in an eVTOL OEM seeking out some fanciful early-stage certification in the Middle East. It's not real, it's not tangible, and it's not portable globally. That's the reality, and that is based on my 4 decades of experience in this industry. Now you will have noted this morning that suddenly the authorities in the Middle East or there's at least news reports saying, oh, sorry, we don't expect to give "certification" until late '26. And you just referenced there that our competitors are talking about commercial operations as soon as the end of this year. It isn't happening. It is fanciful and it is not certification.
Operator: Our next question comes from the line of Edison Yu from Deutsche Bank.
Xin Yu: Congrats on all this progress. So first question about -- we saw the press release about funding both from U.K. Department of Transport under this OxCam AAM Corridor initiative. So could you clarify like what portion of the award is like directly attributable to Vertical and any technical milestones met before you can access that fund?
Stuart Simpson: All right. Thank you, Laura. So I think what you're alluding to is the British government's desire to promote both Oxford and Cambridge Universities, which are 2 of the world's leading academic and research institutes, which both are producing incredible output of new businesses. And the opportunity to link those through a corridor of innovation and development is a fantastic -- fantastic initiative, of which we're very, very proud to be part of. Our aircraft will be able to fly between those 2, providing an utterly unique capability. Now in terms of accessing funding, it's gone into one big bucket, and we'll be making our pitch to make sure we can do the demonstrations of that capability over the coming 12 months. But it's a phenomenal, phenomenal step for the U.K. to be able to leverage those 2 institutions and grow them aggressively over the coming years, and we will be part of enabling that. So hopefully, that gives you a bit of color commentary, Laura.
Xin Yu: Okay. Got you. Also for the $700 million [indiscernible] towards certification. So should we assume more spending on top of that for the hybrid powertrain -- or like would that be a material amount or like most cost for the hybrid already behind?
Domhnal Slattery: Well, let's break that into 2 components, Laura, right? And Stuart will answer the components of 700. As I touched on, and I think it's really important for the market to understand this, there is a massive future and a massive opportunity on the hybrid side. There's also a massive cost for our competitors to build a hybrid. We don't have to incur that material cost because our aircraft is capable of taking that gas turbine without any major changes to the airframe. So we'll be first to the market with our flight testing in the middle of next year, as Stuart touched on. And as a consequence of that, we'll be the first to the market to sell a hybrid. With respect to the incremental cost with the 700, Stuart, you might want to touch on that?
Stuart Simpson: So Laura, the $700 million includes everything we need to get the hybrid program up running and flying over the next 12 months. On the back of which, as Domhnal said, we are highly likely to get a sale. Now that sale will then be able to fund the balance of the program. Now interestingly, as Domhnal said, our airframe fits this hybrid powertrain. So the cost to actually take it from concept through to certification are relatively low. So that's the way to think about it. We've got everything we need for the next 12 to 15 months.
Domhnal Slattery: And maybe to add to that a step back, we think about total cost of certification. By the time our aircraft is certified in the second half of 2028, our estimate is that we will have invested USD 1.1 billion to achieve that milestone. Our best guess is that our U.S. competitors will have spent a minimum of $2.5 billion by that time, and they still won't have achieved the certification of a hybrid aircraft. So there's a start reality there on investor capital allocation and getting a return on that invested capital over time. And I think the market should focus in on the efficiency of how we deal with our capital.
Operator: Our next question comes from the line of Chris Pierce from Needham.
Christopher Pierce: I just have one question. You talked about front-loaded certification given the regulations needed to get in the air and then building your certification plans by the mid-2026. I think I have that right. So can you just kind of sketch through like what will we hear from you guys or what happens over the next 2 years until certification in 2028? Is that just consistent flying and feedback? Or is there -- like is there a chance for that to be pulled forward? I'm just kind of thinking about where you guys are at and then your comments on front loaded. I just love to hear you expand on that.
Domhnal Slattery: Yes. So there's no pulling forward, right? There's no fanciful time lines on certification. It will take what it will take. And we're highly confident in getting that achieved, as we said, at the second half of 2028. In our year-end earnings call, we will present to the market a forensic breakdown by quarter, starting in quarter 1, 2026 through to conclusion in second half '28, exactly what you should expect us to be doing each quarter as we go along the certification journey. The front-loading piece is really important for people to understand. And why it's important is as follows: in the U.K. and in Europe, the process is front-loaded in terms of the amount of interaction, the amount of oversight we have in the process with the regulator when the aircraft is still at early stage prototype development. So we get a lot of input, a lot of guidance, a lot of derisking from a safety regulatory perspective. And if you look at the Slide 7, which was originally presented at our Capital Markets Day by Patrick Kai, the former Head of EASA, who sits on our Board. What I tried to represent to you is a lot of the risk is taken out earlier in the program, unlike the United States, which is actually diametrically opposite. I mean we are the only aircraft manufacturer that has a means of compliance. What that means in simple terms is we know exactly what we have to do and when we have to do it to get the aircraft certified. So key messages are we will get there on time. There will be no pull forward. This will take until the second half of 2028 to get it done. No fanciful ambitions or throw away spend comments that we can get there earlier.
Christopher Pierce: Okay. So just to clarify, there will be a schedule that because of what EASA has in place with CAA, investors will be able to see what you need to do, when you will do it, what boxes will be, et cetera...
Domhnal Slattery: To a reasonable level of detail so that we can measure ourselves against performance and that you can measure us. Stuart?
Stuart Simpson: Yes. And just giving you the high points on that, Chris, we do CDR the middle of next year that locks in 100% of the aircraft design and the supply chain. The engineers effectively put the pencil down at that point. That is our final aircraft, no change. And importantly, we've already locked down 75% of the final aircraft. We already know the design of it. We're showing that on the 10th of December. The CDR just locks in the supply chain. The design is there. The next aircraft we build, and we've already initiated production by ordering the long -- very long lead time items is a certification aircraft. It will be completed in Q1 '27 and flying. After that, we build 6 others and they constantly fly hand-in-hand with oversight from the regulator. So that is the process. And as Domhnal said, has no fanciful forward. This is a clear, transparent process, and we will be certifying in 2028.
Operator: Our next question comes from the line of Savi Syth, Raymond James.
Savanthi Syth: Just could you talk a little bit kind of given your differentiation of the bigger cabin, could you talk a little bit about the choices you've made versus kind of your competitors that enable that bigger cabin?
Domhnal Slattery: Well, the first and I think the most important, before we ever designed anything, and that's taking us back really 5 years ago, we spent a great deal of time, and I was intimately involved in this exercise, speaking with our customers or potential customers globally, what was the best product market fit -- and there were a few key learnings and some obvious learnings. One was that the range wasn't going to be super important for the -- at least the initial phase of business, i.e., from central business district -- airport to central business district globally. And if you look at the 50 mega cities of the world where these aircraft will be flying, the average range from aircraft -- sorry, airport into town is about 50 kilometers, plus or minus. So range wasn't going to be a differentiator. Size of cabin was the absolute most important thing. And as a consequence of that, also the ability to check in luggage. And so that gave us a real engineering challenge 5 years ago. How do you design an aircraft of that size with the energy density you need for the batteries at a price point to the operator that can make sense. So that was the conundrum we were dealing with 5 years ago. We have definitely resolved it. So it was a customer-led design engineering process. And if you talk to the Airbuses and the Boeings of the world, they will tell you that it is the right and best way to design an aircraft. And the reality is, today, that airplane physically exists. If you come to London on the 10th of December, you will be able to sit in that cabin. It is comfortable, it's scalable. And if you compare and contrast our cabin to some of our competitors, it is demonstrably bigger.
Savanthi Syth: Helpful. And then just on the battery side, I don't know if you can kind of speak to this. I'm kind of curious, I know you're several generations ahead of what is being fed in Aircraft 2 and Aircraft 3. I wonder if you can kind of talk about how much more development there is prior to kind of CDR and what the kind of the improved capability might be versus kind of what you're flying today.
Stuart Simpson: Yes. Thanks, Savi. Thanks for the questions. You're absolutely right. The batteries that we have on Aircraft 2 that is flying, we are a couple of generations ahead as we look to the certification aircraft. And if I take you back to what I've said previously about our PDR, we have locked in the battery capability in that. We actually have a choice of a couple of cell suppliers because we have such a deep understanding. We've done over 5 million hours of testing on our batteries. So we have a great insight on to that. I don't think there's much more I can add on that at the minute, but we have great confidence line of sight through the PDR, through the supply chain to a battery cell and the battery pack that we build around that cell that is certifiable and gives us the payload and the range that we will be putting into the market and meet way over 90% of the customer launch routes. It's a phenomenal engineering achievement, as Domhnal said. It delivers exactly what our customers need in terms of cabin capacity and luggage capacity.
Operator: Our final question comes from the line of Amit Dayal, H.C. Wainwright.
Amit Dayal: Also great to see the new design guys, definitely a big differentiator for you. Domhnal, you commented on concluding a strategic partnership potentially in the very near term. I mean, can we assume this includes some level of investment? And can that investment carry you through 2027 or 2026 at least?
Domhnal Slattery: I can't comment on the specifics on it, but I think it would be reasonable to assume that any conclusion of the transactional strategic will carry with it an investment quantum that would reassure the market, let me put it that way.
Amit Dayal: Okay. Understood. Also just sticking on that topic, as defense needs [indiscernible] the European market, the U.K. market, et cetera, is there a path for nondilutive funding through [Technical Difficulty] from development purpose. Any clarity on that would probably be helpful for investors?
Stuart Simpson: Yes, Amit, thank you. You're absolutely on point. There is opportunities for nondilutive funding for the development of hybrid aircraft. That's exactly how the defense market works as you get into negotiations with the government. So yes, there are plenty of opportunities for that. And as Domhnal said, we're having a lot of incoming and a lot of very good discussions across the European defense industry.
Amit Dayal: Okay. And then on the defense side again, have any specifics emerged in terms of the aircraft capabilities, et cetera, that those essential customers may be looking for?
Stuart Simpson: I think if you take a step back and look at the aircraft, it provides several things that the defense industry is extremely excited about. So first of all, you have silent takeoff and landing, which, as you can imagine, is extremely important. It also has a very low noise signature, so you can't hear the aircraft when it's coming in to land or taking off. And then once it's altitude, you can fire the gas turbine to travel up to 1,000 kilometers. That combination of low noise signature, low thermal signature and near silence is transformative in the military. So this is what underpins the incoming that we're getting. And really, the use cases are endless from logistics through to deployment, et cetera. So yes, we feel we have got the strongest product in the sector. We will be flying it next year, and we will be selling it next year.
Operator: I will now turn the call back over to the Chairman of Vertical Aerospace, Domhnal Slattery for closing remarks.
Domhnal Slattery: Okay. Thank you, operator, and thanks, everybody, for joining us this morning and the thoughtful questions. If I were to ask you to take one slide away as you think about our remarks today, Section 5, Slide 18. It's the only slide that matters. Have to think about that, think about the relative performance of this business relative to our competitors. Now I want to re-extend an invitation to come to London Canary Wharf to see our physical aircraft. And I'm an aerospace geek. I've been in the business 4 decades. I have seen this physical aircraft that we will be unveiling. It is simply -- the coolest thing imaginable. So if you want to see the future of flight and you want to see the Vertical VX4, it will blow your mind. So get your tickets, get on to the IR team and come to London on the 10th of December. We will also be bringing that aircraft to the United States immediately in Q1 2026. So thank you all. We look forward to our...